Operator: Good morning, ladies and gentlemen, and welcome to the Patrick Industries, Inc. Third Quarter 2019 Earnings Conference Call. My name is Paulette and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. Please note that this conference is being recorded. I will now turn the call over to Ms. Julie Ann Kotowski from Investor Relations. Ms. Kotowski, you may begin.
Julie Ann Kotowski: Good morning, everyone and welcome to Patrick Industries third quarter 2019 conference call. I am joined on the call today by Todd Cleveland, Chairman and CEO; Andy Nemeth, President; and Josh Boone, CFO. Certain statements made in today's conference call regarding Patrick Industries and its operations may be considered forward-looking statements under the securities laws. There are a number of factors, many of which are beyond the Company's control, which could cause the actual results and events to differ materially from those described in the forward-looking statements. These factors are identified in press releases, our Form 10-K for the year ended 2018 and in our other filings with the Securities and Exchange Commission. We undertake no obligation to update these statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. I would now like to turn the call over to Todd Cleveland.
Todd Cleveland : Thank you, Julie Ann. Good morning, everyone and thank you for joining us on the call today. We remain disciplined in the third quarter of 2019 and continue to drive the execution of our tactical and strategic plan as both our RV and marine markets focused on model year change and dealer inventory destocking in preparation for the 2020 model and show season. Our housing and industrial markets regained momentum after weather-related issues, economic uncertainty and interest rate volatility impacted the first half shipments and new housing starts. We also worked diligently in partnership with our customers during the model chain season in the second and third quarters to sharing cost synergies, commodity cost decreases and bring new innovations to promote continued differentiation enhancements to their units. Additionally, we continue to focus on sizing and scaling our business model in alignment with our revenue and identified and executed on fixed cost reduction initiatives estimated over $10 million in annualized savings. Our third quarter revenues of $566 million, declined slightly versus the prior year. And we continue to increase our content per unit in each market sector. Our third quarter 2019 net income, excluding the impact of our cyber security incident we discussed in our news release, was approximately $23 million or $0.98 per diluted share. And now I'll turn the call over to Andy, who will further review our primary markets and overall business outlook.
Andy Nemeth : Thank you, Todd. While production and demand calibration continued in the RV market and carried into the marine market in the third quarter, we continue to grow organically, net of industry as a result of our diversified market presence and strategic and tactical growth plan. Macroeconomic and demographic trends remained positive, supporting an encouraging near and long-term outlook, as we look to the 2020 model season and beyond. Our leisure lifestyle markets, encompassing RV and marine, collectively represent 68% of our third quarter revenues. Dealer inventory management was a strong focus for the third quarter, coupled with model year change, which is robust with additional content, options and design changes for the 2020 model units in general. Our housing and industrial markets representing 32% of our third quarter revenues, rebounded from the weather-related issues experienced in the first half of 2019, as interest rate reductions and improved weather conditions took hold in the third quarter. More specifically, on the RV side of our business, our third quarter 2019 financial performance reflects the impact of continued aggressive rebalancing of retail inventories, with disciplined wholesale production levels against the backdrop of fundamentally solid overall retail demand. Our RV revenues were down $45 million or 13% against wholesale shipments that were down by an estimated 14%. Retail continues to outpace wholesale and drive dealer inventories down, and is setting up nicely for a return to a more direct relationship between wholesale shipments and retail unit sales for the upcoming 2020 selling season. The gap between retail shipments and wholesale production continued in the third quarter, consistent with the second quarter. With retail shipments estimated to be down mid-single digits and wholesale shipments down mid double digits. On a unit basis, this equates to an estimated 40,000 to 45,000 units pulled from inventory in the third quarter alone. Since the inventory destocking began in the second quarter of 2018, retail shipments have outpaced wholesale shipments by more than 120,000 units over the past 18 months. We are currently assuming existing wholesale production run rates to continue through the fourth quarter, as OEMs maintain their disciplined production cadence. In addition, we currently expect a mid-single-digit decrease in full year 2019 retail shipments from 2018 after final adjustments. We currently estimate dealer unit inventories, both now and at the end of the fourth quarter to be at their lowest point since the end of 2014. On retail shipments that are projected to be 40% higher than they were in 2014 and at a time when wholesale production began to have difficulty keeping up with retail demand. The RVIA's latest published expectations for 2019 project wholesale unit shipments to be 401,000 units, representing a decline of approximately 17% from 2018, and implying a low double-digit decrease for the fourth quarter. Using this data and based on our estimates, this would imply that more than 10 weeks will have been taken out of inventory weeks on hand since 2014 by the end of 2019. The RVIA is currently estimating 387,000 wholesale units for 2020 or decline of approximately 3% from 2019. On the marine side of our business, we saw dealers and OEMs concentrate on inventory destocking during the quarter, as they proactively focused on reducing pockets of excess inventories, resulting from a challenging weather environment in the northern parts of the country in the first half of the year that negatively impacted retail, particularly in the pontoon and aluminum fish categories.  We estimate marine powerboat wholesale unit shipments to be down low-double digits in the third quarter. Our marine revenues declined approximately $6 million or 7% in the quarter and represented 13% of our consolidated sales in the quarter. Down slightly from 14% in the same quarter last year. Our retail content per unit increased 54% in the quarter, as a result of both strategic and organic growth, net of industry. Powerboat retail rebounded in the third quarter, which generally represents about 30% of full year shipments, increasing an estimated 1% to 2% for the quarter with pontoon up 11% and ski and wake up 12%. Aluminum fish remains soft with retail shipments down approximately 5% for the quarter and 11% year-to-date on an unrevised basis. Overall, we estimate third quarter year-to-date marine powerboat wholesale shipments to be down mid-to-high single digits. All indicators currently point toward a low-to-mid single-digit decline in marine retail units and a high-single-digit decline in wholesale unit production for fiscal year 2019 as the OEMs position themselves for the expected solid 2020 model season. Channel inventories appear to be appropriately recalibrating as a result. And while we expect production levels to continue to be rationalized in the fourth quarter, we expect inventories to continue to be depleted through the fourth quarter and positioned well for the upcoming 2020 selling season. Marine dealer shows held in the third quarter were positive and OEMs are continuing to offer more value-added content on boats. Long-term fundamental demand with 39% of first-time boaters falling in the 35 to 44 year old age group aging boats in the water and the related replacement cycle of an estimated 1 million units over the next four years, all point toward continued strong growth opportunities in the marine sector. Now turning to the housing and industrial side of our business. Our manufactured housing sales represent 19% of our total revenues in the third quarter and increased $41 million or 61% over the third quarter of 2018. This compares to 12% of our revenues from the third quarter of 2018 and reflects an estimated 1% decrease in wholesale unit shipments. Our content per unit is up an estimated 65% in the MH market. While weather again impacted these markets due to flooding in the Southeast in the first half of 2019 causing the inability to set homes, the demographic trends consistent with our leisure lifestyle markets indicate strong expected demand patterns as we are seeing both growth in population of first-time buyers and the older generation looking to downsize into multi-family housing from rural to a more urban areas. In addition, 71% of MH residents cite affordability as the key driver of choice for owning a manufactured home and 62% of all MH residents anticipate living in manufactured housing over the next 10 years. Despite a slow start to the year due to the factors described, we are currently anticipating low-to-mid single-digit growth in MH wholesale units for the back half of 2019 as we continue to see and feel the tailwinds in the MH space and remain excited about the overall long-term prospects in both built and manufactured housing. Revenues in our industrial business, which represented 13% of our overall sales mix in the third quarter were relatively flat compared to the prior year against the backdrop of new housing starts, which were up 4% in the quarter. Our products are generally the last to go into a new unit and generally trail new housing starts by four to six months. Single-family housing starts were up 4% in the quarter, while multi-family housing starts rose 6% with most of the growth to multi-family coming from the Midwest and Northeast regions at 10% and 19%, respectively. Our industrial business is primarily focused on residential housing where we participate in both new construction and remodel, and in hospitality, high rise, commercial construction and institutional furniture markets. We see tremendous opportunities for growth in this sector, with our full solutions model. And we currently have several high rise projects in the pipeline where our innovative and custom products have spec-ed in and are waiting for the other subcontractors to finish their work. Fundamental housing demand is strong with constraints currently caused by affordability and capacity. Headwinds related to commodity costs, interest rates and tariffs, which previously have negatively impacted these markets as well, and as noted, started to dissipate in the current quarter. We are currently anticipating low-single-digit growth in new housing starts for fiscal 2019 after first half starts were down approximately 4%. Overall, we are optimistic about all of our end markets in anticipation of the upcoming 2020 fiscal year. Demographics are positive, secular trends are showing signs of improvement, and interest rates and commodity cost declines in 2019, which we have passed on to customers and partnership are not tailwinds supporting and positioning both our leisure lifestyle and housing and industrial markets for a return to overall growth. Our recent capital raise of $300 million senior notes, coupled with partially offsetting reduction of our line of credit and extended maturity of our credit facility provide tremendous liquidity and flexibility to not only drive our strategic growth plan and capital allocation strategy for the foreseeable future, but also to comfortably navigate through changing market dynamics. We continue to manage our flexible operating model as we navigate the rebalancing in our leisure lifestyle markets and in anticipation of disciplined fourth quarter production levels. In the third quarter, we further aligned our cost structure, eliminating over $10 million in fixed overhead on an annualized basis, which Josh will explain in more detail in his prepared remarks. These cost savings combined with our team's focus on driving market share gains, operational improvement and synergy realization will continue to strategically position the Company to remain flexible and nimble and drive overall long-term growth in both our top and bottom line. We remain focused on targeted acquisitions in our primary markets, recently completing the acquisition of G.G. Schmitt & Sons, a high quality, value added component supplier to the marine market. We are very excited about our acquisition pipeline, which remains full as we are constantly cultivating and exploring new opportunities in our primary markets. In addition, we repurchased approximately 98,000 shares of our common stock during the quarter and reduced our leverage ratio. We further generated approximately $122 million in operating cash in the first nine months of 2019 and over $7 of free cash flow per share on a TTM basis, despite declines in the RV and marine sectors in the same period. I'll now turn the call over to Josh, who'll provide some additional comments on our financial performance.
Joshua Boone : Thanks, Andy. Our consolidated net sales for the third quarter declined 2% to $566 million, primarily hampered by quarter-over-quarter industry declines in three of our four primary markets we serve, which were partially offset by the impact of acquisitions completed late in the third quarter and the fourth quarter of 2018. On the top line, we continue to focus on strategic initiatives to drive organic growth and penetrate new markets and geographic regions. With the strength of our diversified brand platform, depth of our customer relationships and strategic geographic footprint, we were able to offset some of the declines and generate organic growth, net of industry growth, by low single digits again this quarter in light of price decreases that went into effect in the first half of the year and partially carried into the third quarter. Revenues from our leisure lifestyle market, which is comprised of the RV and marine markets, decreased 12% with RV and marine revenues down 13% and 7%, respectively, compared to the third quarter of 2018. RV content per unit on a trailing 12-month basis increased 9% to an estimated $3145 per unit and estimated marine retail content per unit increased 54% to $1624 per unit. Revenues from our housing and industrial markets increased 29% in the quarter, with MH revenues up 61% versus the prior year and MH content per unit increasing 65% to an estimated $4,348 per unit. On the industrial side, revenues were flat in the quarter and housing starts were up 4% compared with the third quarter of 2018. As Andy mentioned, our products are generally the last to go into a new unit and generally trail new housing starts by four to six months. And we would expect to see the benefit from the strong housing starts in the quarter, in the fourth quarter of 2019 and first quarter of 2020. As discussed on the pricing front, the price decreases that we passed along in the first half of the year, more than offset the price increases related to additional tariffs placed on certain products we source outside of the U.S. We've continued to partner with our customers for both price decreases related to declining commodities and price increases related to additional tariffs on certain imported products. As communicated in our news release, at the end of the third quarter, we experienced a third-party malware cyber attack that impacted our business for approximately two business days. We have procedures and protocols in place for situations like this and our response and actions taken were very swift. Our focus was ensuring that customer commitments were honored, systems were up and running, and the attack was remediated. Our team did a fantastic job adapting to the situation and we've taken additional steps and engaged forensic and other IT specialists to implement further detection and security enhancements designed to mitigate cyber security related risks. The financial impact of the cyber attack and related remediation steps and security enhancements was approximately $1.5 million on an after-tax basis, which was recorded in the third quarter of 2019. We do not expect any material, financial impact of future quarters. Our gross margin in the third quarter was 18.4%, declining 10 basis points compared with the prior year, which was impacted by industry declines, primarily in our leisure lifestyle markets, in the corresponding lost revenues and the temporary business disruption related to the cyber security incident. In addition, as Andy mentioned earlier, at the end of the third quarter, we strategically reduced our fixed cost structure by approximately $10 million on an annualized basis and as a result, expect to realize approximately $2.5 million of cost savings in the fourth quarter of 2019. The cost reductions principally involve a reduction in personnel, both salary and production-based and related cost across our organization. Operating expenses were 11.8% of sales in the third quarter. Warehouse and delivery expenses and intangible asset amortization increased 100 basis points, which was driven by certain 2018 acquisitions and negatively impacted our operating margins due to having a higher operating expense profile relative to our overall margin profile. Independent of the $10 million in Companywide cost reductions, we have executed on 75% of our $5 million target synergies related to the acquisition of LaSalle Bristol with the benefit beginning to take effect in the third quarter. SG&A expenses were 6% of sales in the quarter, up 20 basis points compared to the prior year. Approximately $1 million of pre-tax costs or 20 basis points were associated with the cyber security incident. Operating income was approximately $37 million in the third quarter, a 16% decline from the previous year. The third quarter 2019 operating margin of 6.6%, decreased 120 basis points compared to the prior year. Based on current expected industry volumes, 50 basis point margin dilution from LaSalle and the cyber security impact in the quarter, offset by the execution of recent cost reductions and the LaSalle synergies, we're estimating our full year operating margin to be down 130 basis points to 140 basis points compared to the prior year. Our net income per diluted share in the third quarter was $0.92, down 20% from the $1.15 in the prior year. Excluding the after-tax costs related to the cyber incident, net income in the third quarter was $22.8 million and net income per diluted share was $0.98. Our overall effective tax rate, as reported, was 26% for the third quarter. For the full year 2019, our previous all-in effective tax rate estimate of 25% to 26% still remains, excluding the impact of one-time items. Now turning to the balance sheet. Our total assets increased approximately $220 million, largely reflecting the recognition of net cash proceeds from the senior notes offering, after the paydown of existing debt and approximately $81 million of operating lease right of use assets related to the adoption of the new lease accounting standard on January 1, 2019. In the third quarter, we repurchased approximately 98,000 shares of our common stock, at an average price of $36.50 per share or a total cost of approximately $3.6 million. In addition, as previously announced, we enhanced our capital structure and added $300 million of long-term notes due 2027 to our debt structure. Combined with this transaction, we can currently reduce the cost of our credit facility and extended the maturity to September 2024 from March of 2022. These actions provide us tremendous flexibility and ample liquidity, which is currently about $528 million, including cash on hand to continue to execute on our strategic growth plans. And our leverage position relative to EBITDA at the end of the third quarter was under 2.3 times. In the first nine months of 2019 as Andy noted, we generated approximately $122 million of operating cash flows and invested approximately $22 million in capital expenditures. For the full year 2019, we are estimating operating cash flows of approximately $200 million and capital expenditures were approximately $30 million. That completes my remarks. Todd?
Todd Cleveland: Thanks, Josh. As we look to finish up fiscal 2019 and into 2020, we are anticipating strong fundamental demand in each of our end markets in 2020, supported by strong demographic trends and macroeconomic and secular tailwinds. We have strategically and opportunistically maintained a very flexible operating model, coupled with a variable cost structure and plan to focus on leveraging our existing brands and expertise, customer relationships, innovation initiatives and manufacturing capabilities to drive market share gains, continue to realize operating efficiencies and execute on our synergies across the organization. We believe our operational and financial foundation and our customer-first performance-oriented culture, when combined with the exceptional talent and passion of our more than 8000 team members will continue to position us to execute on our strategic plan to grow both top and bottom line and exceed our customers' expectations. In addition, the ongoing support we receive from our customers, suppliers, Board of Directors, banking partners and our shareholders affords us the opportunity to continue to focus on our goal of providing the highest level of quality, service and shareholder value. This is the end of our prepared remarks. We're now ready to take questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instruction] And our first question comes from Daniel Moore from CJS Securities. Please go ahead.
Daniel Moore : Todd, Andy, Josh, good morning. Thanks for taking the questions.
Todd Cleveland : Good morning.
Daniel Moore: I wanted to start -- you gave a lot of good color on inventories, but that's clearly been a big focus for folks. So start there, if I'm reading commentary right, it sounds likeyou got maybe one more quarter at least of destocking expected given the -- your commentary around expected shipments for Q4 that consistent and beyond that, specifically in RV when would you expect things to level off, or maybe even start to, inventories, perhaps even start to build again.
Andy Nemeth: Sure, Dan. This is Andy. We do expect destocking in the RV in the marine space for the Q4 at this point. I think what we've seen though as it relates to where we're at Q3 from a weeks on hand perspective, we think that the inventories are fairly well calibrated on the RV side of the business and that we could possibly be pushing into over-correction in Q4, again reflecting our positive view on 2020 model season in both of our leisure lifestyle markets. We think the marine industry has been very aggressive in managing dealer and field inventories. We think they have come down very well. So again, I think as we look at both those markets, we feel like we will see some destocking, but at this point in time, we think that, again 2020 is setting up very nicely.
Todd Cleveland: And Dan, I'd just add, this is Todd that well we've talked about the mathematics and how we're looking at things. The commentary that we've heard, both from the dealer and OEs have been very positive as they're heading into the latter part of the fourth quarter and they're looking toward the first quarter 2020. So I think the assessment is fairly accurate the ways Andy has described and you're looking at it.
Daniel Moore: Helpful. Switching gears a little bit. In terms of MH, the, it doesn't get as much press perhaps for Patrick, but content per unit keeps creeping higher up to almost $4,400. Maybe talk about the, how much room is left upside as far as content is concerned. And do you have a target in mind of where that might be three to five years from now?
Joshua Boone: Sure, Dan. This is Josh. Yeah, we continue to gain traction in content per unit in all of our end markets. We have been really successful on the MH side. With the acquisition of certain distribution companies last year, namely LaSalle Bristol in Q4, really added to our product portfolio and arsenal to continue to gain traction on the MH side content per unit. And also leverage growth oriented synergies with those acquisitions with our other brands.  And so, as we approach over $4,400 year on a trailing 12-month basis, we still have significant runway. On the MH side, well in excess of $10,000 of content per unit in the product categories that we're in today. So we view the MH is having really solid traction here the first part of the year, but still a long run way out in front of us.
Daniel Moore: Got it. And last from me and I'll jump back in queue. Generally, the answer is always consistent over time, but in terms of capital allocation, you're looking at over $7 a share in free cash flow in a year in which RV was down 20%. So you clearly can't continue to generate a ton of cash. With the stock where it is, maybe, is there any change in rank ordering your priorities for buybacks versus M&A versus debt pay down? Thanks.
Andy Nemeth: Sure, Dan. This is Andy. We're going to stay consistent and opportunistic as it relates to the capital allocation strategy. We're excited about our acquisition pipeline. We're excited about the organic growth opportunities that we've got today. We're excited about our expansion opportunities that are out there. We're going to continue to keep ourselves very disciplined as it relates to our leverage ratio, which we reduced in the quarter as well. So we feel really good about our position today. We're really excited about the financing platform that we put in place, which we expect to execute on going forward on a very opportunistic basis. And so, as we kind of watch the first half of the year play out, especially in our leisure lifestyle markets, as you know, as we noted, we completed the acquisition of G.G. Schmitt in the third quarter. We feel really good about where we're at going forward. And like I said, not only from an inventory perspective in those markets for 2020, but from a capital allocation and strategic perspective, we're excited about fiscal 2020.
Daniel Moore: Appreciate the color. I'll jump back, if I have any follow-ups. Thanks.
Operator: Our next question comes from Scott Stember from C.L. King. Please go ahead.
Scott Stember: Good morning, guys. And thanks for taking my questions.
Todd Cleveland: Good morning.
Scott Stember: Maybe Andy just digging back into the fourth quarter assumptions for shipments or production levels, it sounds like we're pretty much at least on an absolute basis kind of hit a certain run rate, but the comparisons start to get much easier, definitely within the next couple of months as last year I think right around this time is when shipments started falling off the face of the earth. So I'm just trying to frame up how much or when would you expect to see an abatement of some of these declines fully recognizing that the absolute levels will remain kind of low sequentially in the next couple of quarters.
Andy Nemeth : Sure. So as we look at where the RVIA has projected shipments for the year on the RV side of the business, it would be down high double digits year-over-year. We see OEs remaining fairly disciplined in the fourth quarter as it relates to run rates that we've seen over the past three quarters. I would tell you that we think there is opportunity for some uptick in shipments in the fourth quarter, but again really positioning well for the 2020 model season. As we noted, on the inventory side of the business, we think that inventories are very well positioned. And again, when you look at where we're at from a weeks on hand perspective and an inventory turns perspective against the backdrop of what we believe to be a strong retail environment.We think that the inventories are fairly well calibrated through the third quarter and again potentially over calibrating into Q4, but again positioning well for 2020.
Scott Stember: Got it. And just broader speaking a couple of opportunities that it looks like you guys particularly take advantage of. First, there was a competitor in the transport business, so it looks like it's going out of business. I'm just trying to see how you guys think you can potentially benefit from that.And also with Furrion and the dislocation of the brand in some of the disruption, how you guys think you could benefit on some of those distribution type of items?
Todd Cleveland: Yes, Scott. This is Todd. Yeah as noted, there was a transportation company that left and we have exceptional relationships with the customers that this particular transportation company was doing business with. So we're excited about the opportunity. We think there is significant potential gains there. Our teams have been really focused on aligning with the customer, even more so than what we've been. So really solid opportunity and I will say we continue to take market share in that particular business unit also in 2019. So when you look at their aggressive approach and how they've gone to market. As far as Indiana Transport, they've done a great job with our customers and the teams. As it relates to Furrion that's still playing out and we're still evaluating and looking at that -- those particular product lines. But they definitely do again, once again provide us significant opportunities in a very high dollar -- product dollar market. So great opportunity as we look not only during the fourth quarter, but into 2020.
Scott Stember: And last question, Josh, did you give what the absolute total organic sales number was?
Joshua Boone: So our collective industry was down 13% across the board. So in other quarter, where we experienced and navigated double-digit declines in our end markets. Our organic growth was positive again in the quarter, it's plus 1%, so net 12. We did offset that by the 1 point. And that's still in the face of headwinds on a declining commodity market that we really experienced in the first half of the year and then carried over to some additional into Q3.
Operator: Our next question comes from Craig Kennison from Baird. 
Craig Kennison: Maybe starting, I guess, with the cyber attack, can you shed any more light on the scope of the attack and whether there was any customer or employee data that's now vulnerable?
Joshua Boone: Yeah, Craig. This is Josh. The scope of the attack was centered around our operating systems and our network. And at this time, we do not believe any customer data was compromised or any employee data was compromised. We have forensic IT specialists that are assisting with this from a consultation basis. And so, at this time, we have no evidence of any customer data or employee data being compromised.
Todd Cleveland: Craig, I'll add just a little bit of color to that as well. Our team reacted very, very quickly. We've got disaster recovery plans in place. We've got backup plans in place. We've also got contingency plans as it relates to engaging outside experts. And so our primary focus was to make sure that our customer commitments were taken care of. And then our team executed tremendously as it relates to mediate, remediating the attack, making sure that we were able to ship and we were down for just two days. We chose to be very aggressive in deploying those assets to and resources to be able to get back up and running as quickly as we did. So again, I think our teams across the spectrum whether it be our admin teams, our OPS teams did a fantastic job of adapting to a dynamic situation. And really coming out and doing what we needed to do based on the plans that we had in place and our backup plan. So, we were able to execute very, very well during that time frame.
Craig Kennison: Did you lose any revenue in the quarter that was deferred into the fourth quarter? And then as a follow-up to that, is there anything in the nature of your business, which is highly decentralized that either makes that harder to manage or easier to contain since you've got a number of different systems?
Todd Cleveland: Sure. We did not lose any material revenue in the quarter. And as it relates to our systems in our network, we do not have a lot of decentralized systems that are outside of our network. So we've got a strong platform in place. We've got a strong network fence in place and so it's not decentralized.
Craig Kennison: And then you had mentioned on the fixed cost side having taken out an annualized $10 million in fixed cost. You also had the cyber event, which hopefully is non-recurring. Could you use that information and whatever else you know and try to frame 2020 margin growth expectations?
Joshua Boone: Yes. So we'll start, it's Josh, Craig. We'll start to benefit from the cost reductions in the fourth quarter. If you just annualize that about $2.5 million on a run rate run rate per quarter moving forward. We don't expect any material impact the cyber incident moving forward. So when you kind of factor that in, things are setting up nicely for 2020. In addition to that, as industry normalizes on both on the RV and the marine side, and then we don't have the headwinds on the declining commodity market that we saw here in the first half of the year. And you put that all together and we are in a very good position to be able to execute on our 30 basis point to 50 basis point margin target improvement on an annualized basis. And kind of from what we see out in front of us and the actions we've taken this quarter, we're in a position to probably exceed on the 50 basis points margin improvement for 2020.
Craig Kennison : Thank you. And then just on the M&A pipeline, I think you addressed this a little bit, but you guys don't like to sit on cash. At what point -- how quickly could you deploy those resources in attractive M&A opportunities?
Andy Nemeth : This is Andy. We've got a great pipeline of opportunities that are out there today, Craig. We can deploy cash very, very quickly. So we did nine deals last year. We paused in the first half of this year to digest those deals as well to kind of gain some perspective on where we think our markets are headed. And so we're back on the -- our capital allocation deployment strategy in the back half of this year and into 2020. So we can deploy very quickly.
Craig Kennison : I guess one more, then just on the content side, big picture, there has been a long-term trend toward less content and in RV as the industry chases that first time buyer. Hopefully some of those buyers return, but they look to upgrade. At some point, do you see a reversal or at least the bottoming in industry content per unit trends? I know you guys have been able to grow, but the category itself has been becoming more of a value category. How do you see that unfolding over time?
Todd Cleveland: At this point, Craig, we believe that a tremendous amount of content has come out of the units. We think that the units have upside potential as it relates to making that conversion from low-end back into a more higher end value added differentiated product as we go forward. So we feel like we're at the baseline there. We have not seen -- we've seen a lot of movement to attract that younger buyer into the space. We do not believe that this is a replacement cycle. We believe that people have been aggressive at buying units at a low end. And we think that we're about to hit that time frame, when the buyer is going to start upgrading and differentiating. And we're seeing that in some of the brands that we sell to today have been the differentiated brands have been performing. And so we're optimistic about where the content can go and about that, the buyers that are going to start differentiating and upgrading units.
Operator: Our next question comes from Tim Conder from Wells Fargo. Please go ahead.
Tim Conder : Thank you, gentlemen. Several questions already answered, but just wanted to circle back on LaSalle. So Josh, it sounds like you think looking into '20 here, that there should not be any residual hangover from LaSalle as we kind of wrap up here in Q4, just to reconfirm that.
Joshua Boone: That's correct.
Tim Conder: Okay. Okay. And then Todd, Andy, whoever wants to take this. A large player OEM stated here in their announcement very recently.That they see the 2020 RV retail units being maybe down low-single digits to mid-single digits. If that scenario plays out, what is your feel on the wholesale outlook for the North American industry. And granted there is still a little bit of inventory to clean up in predominantly Canada, but what's your feeling sort of building on what you've already discussed at this point?
Todd Cleveland: Sure. So with -- where inventories are at today and where the weeks on hand are at flat to mid-single down on the retail side, still positions wholesale very well for next year. And as we noted in our release, we think we're well positioned for a more direct relationship on a one-to-one basis on an annual basis with wholesale and retail as we head into 2020. So, with retail, kind of going to be down from our estimates, low to mid single this year, we think that there is opportunity on the wholesale side, especially with the weeks that have been taken out.
Andy Nemeth: And Craig, I'd just add. I mean if that scenario plays out like you're describing, I think the opportunity to at least meet or exceed 2019 shipment levels are definitely in play with a lot of opportunity for all of us.
Todd Cleveland: And Tim, one, I'll just add one more piece of color on that. Retail this year, if it's down mid-single digits would put retail at 455,000 units or so. And our wholesale's projected according to RVIA at 401,000 units. So we're pulling over 50,000 units out of the channel this year and we're producing 50,000 less than what's being retailed. And so as Andy noted as you move into 2020, it's going to position wholesale to be able to withstand a pretty significant drop in retail before it would go negative in 2020. Retail could be down 5% to 8% to 10% and it would still be above 2019 wholesale shipment levels. And so from there just factor in as if there are any additional destocking taking place next year, but just wanted to add a little bit of some actual metrics related to how we're thinking about 2020.
Tim Conder: And just to circle back to the Indiana Transport opportunity. Are you starting to see some of that reallocation of share benefiting Indiana Transport from the player that's exiting the market here in Q4? And any type of estimate, direction that you can give as to what that potential is, reasonable potential for Indiana Transport to gain as a result of that player exiting the market?
Todd Cleveland: Yes, Tim, this is Todd. I would say, they are winding things down and they're doing it in a very systematic way again to not impact the dealers or customers and we're being respectful of that process. So I don't think we'll probably start seeing any significant benefit of that until maybe mid to late November, but I would tell you that our team is aggressively working with the different dealers and OEs to capitalize on those opportunities as it relates to the magnitude, I would see the opportunity for sure for us to be gaining 20% to 25% of this particular transport company's market share, if not a little bit more. So again, a strong opportunity for us in when we look at 2020.
Operator: Our next question comes from Steve O'Hara from Sidoti & Company. 
Steve O'Hara: Just on the, I guess, most of my questions have been answered, but in terms of the cash balance on the balance sheet. I mean is that just timing or is there something, is that just kind of dry powder waiting for acquisitions or share buybacks? And then I'm just curious about the multiples you've seen recently. I'm just, are multiples improving? Are they still kind of maybe more elevated like they were previously? Thank you.
Joshua Boone: I'll take the first one there, Steve. The cash on the balance sheet, it's little bit of both. It's a little bit of timing and it's a little bit of dry powder positioned us to deploy capital. So it will ebb and flow quarter-to-quarter, but it's really a combination of both.
Steve O'Hara : Okay.
Andy Nemeth : And Steve, this is Andy. On the acquisition multiples, multiples have remained fairly consistent. We've not seen a lot of players run to the table with discounted multiples. People have been pretty confident in the markets really through this recalibration process and have held pretty steady. And so, we have not seen a lot of compression, but we stay very disciplined to what we're doing and again we've just -- it's been fairly consistent.
Steve O'Hara: Okay. And then maybe just on the RV, it was down 55% I guess in the quarter. And I mean I know you wanted to reduce that and if you have, let's say, also growth obviously that will swing that to the upside assuming some additional growth in the other markets. But I mean in terms of the acquisition outlook, is there -- I mean, is it still -- do you feel -- I guess what market do you feel is maybe under-represented in your portfolio, where would you like to add, and then are there other areas outside of what you're currently in that maybe you're considering? Thank you.
Andy Nemeth : Steve, this is Andy. We feel really good about the balance in our portfolio today. We feel really good about the acquisition pipeline and where those acquisitions lie. We're not looking to extend outside of our primary markets today. So we stay close to what we know. We stay disciplined and we're going to stay opportunistic based on returns, based on strategic value, based on potential relationship opportunities and customer product lines and innovation.  So we spread that across the platform and evaluate each of our candidates to prioritize those candidates, which make the most sense. But we stay very disciplined to our four primary markets. And again, we like the balance, it's in our portfolio today.
Steve O'Hara: Okay. All right. Thank you very much.
Operator: Our next question comes from Daniel Moore from CJS Securities. Please go ahead.
Daniel Moore: Thank you. Just a quick follow-up on M&A. Now that you've been in the marine space actively for a couple of years. Maybe just talk about the overall pipeline of opportunities that are coming your way now versus kind of where we were two years ago, specifically in marine? Thank you.
Andy Nemeth : Sure. Dan. This is Andy. We're very active in both cultivating opportunities, developing relationships. We've got tremendous talent across our marine platform and tremendous relationships in our brand-based portfolio and brand-based model, and tremendous touch points. So we've got a combination of deals coming our way as well as deals that we're actively talking to and feel really good about where we're at today, especially compared to two years ago. We remain active and excited about that market with tremendous touch points and customer opportunities. So we're very excited about this space.
Daniel Moore: That's it from me. Thank you.
Andy Nemeth : Thanks.
Operator: Our next question comes from John Lovallo from Bank of America. Please go ahead.
John Lovallo : Hey, guys. Thank you for taking my questions as well. The first one is, there is still different -- I guess there's varying views out there and how the industry, maybe RV industry is actually going to play out next year, but I'm just curious, what level of kind of wholesale and retail shipments are you actually planning your business around in 2020?
Joshua Boone: Yes, John. This is Josh. It's obviously very volatile and fluid at this moment in time. We stay very close to the customers in our touch points. What I would say is, we have a very flexible and nimble model to be able to flex up and down very quickly and so. As we look over the horizon and we get through the kind of the model season here, we got to the model year change over here in Q3, and we look, our production run rates are going into Q4 in the first half of the year, we're planning on being able to flex and adapt the wholesale shipments. We're at a run rate right now in the low 400,000. We can flex up very quickly. We just right sized our business model here in Q3. We've tactically and strategically have done that in the first half of the year. We just took a lot more aggressive steps across the board in Q3. So what we would say is that, we're planning 2020 to kind of be a little bit volatile here in the first half of the year, but we're able to flex up very quickly and adapt to that.
Andy Nemeth: John, this is Andy. When you look at kind of the math between wholesale and retail and where retail expectations are for next year and we believe there is a solid backdrop to retail in our leisure lifestyle markets for 2020. Our business is positioned to operate either at the RVIA numbers or above. And we think there is upside potential to the RVIA numbers that are out there.  So as Josh mentioned, we're very flexible and nimble today, positioned to be able to execute at the low end, which would be the RVIA statistics that are down 3% next year. But I would tell you that, we also believe that there is upside potential, based on the math. And based on the strong retail backdrop as Josh noted. Retail can fall pretty, pretty significantly next year and still support a one-for-one on wholesale to retail. So we're positioned to flex up and down, but also positioned at that low end on the RVIA numbers.
John Lovallo: And then in terms of the marine business, do you still expect the destocking to be relatively short-lived and if so, what kind of gives you guys the confidence there?
Andy Nemeth: This is Andy. We do expect it to be short-lived. The marine, OEs and dealers have aggressively destocked over the course of, first of all, the third quarter, into the third quarter, through the third quarter and we expect that to continue through the fourth quarter. But inventories are coming back in line very, very quickly. And so we think there is upside potential. We do think that weather impacted the aluminum and pontoon markets up in the north in the first part of the year, which is really the driver behind it. And so again, as they have reacted very quickly, we think that, again 2020 is positioning very nicely in our leisure lifestyle markets.
John Lovallo: And then finally, just heading into an election year, which will likely be among the more contentious in history, do you anticipate any impact on kind of more discretionary large ticket purchases? Have you guys thought about it in the past?
Andy Nemeth: We expect there to be some volatility. That being said, I think that's baked in right now to estimates and assumptions as it relates to the retail backdrop. So it's going to impact retail, but as we've noted, the wholesale inventories are positioned very well to support retail especially at the levels that we're at. So we would expect some volatility and again are positioned to manage through that, but I would tell you that that's, we believe that's in our expectations on a stronger, still a strong resilient retail for 2020.
Operator: We have no further questions at this time. I'll now turn the call over to Ms. Julie Ann Kotowski for further remarks.
Julie Ann Kotowski: Thanks, Paulette. We appreciate everyone for being on the call today and look forward to talking to you again at our fourth quarter 2019 conference call. A replay of today's call will be archived on Patrick's website www.patrickind.com under Investor Relations. And I'll turn the call back over to our operator.
Operator: Thank you ladies and gentlemen. This concludes today's teleconference. Thank you for joining. And you may now disconnect.